Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Concrete Pumping Holdings' Financial Results for the Fourth Quarter and Full Fiscal Year ended October 31, 2019.Joining us today are Concrete Pumping Holdings' CEO, Bruce Young; CFO, Iain Humphries; and the company's External Director of Investor Relations, Cody Slach. Before we go further, I would like to turn the call over to Mr. Slach to read the company's safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements.Cody, please go ahead.
Cody Slach: Thanks.I'd like to remind everyone that in the course of this call, to give you a better understanding of our operations, we will be making certain forward-looking statements. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from such statements. For information concerning these risks and uncertainties, see Concrete Pumping Holdings publicly available filings with the SEC.The company disclaims any intention or obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. On today's call, we will also discuss adjusted EBITDA, which is a non-GAAP financial measure that adjusts reported figures for certain items. We believe the presentation of this non-GAAP financial measure is useful because it provides investors and industry analysts the same information that we use internally for purposes of assessing our core operating performance.For a reconciliation of this measure, please refer to the press release issued today or the investor presentation posted on the company's website. Also, please note that on December 6, 2018, we consummated the previously announced Business Combination, where we acquired the formerly private company, previously known as Concrete Pumping Holdings, Inc., and the former SPAC, called Industrea Acquisition Corp, which transactions we collectively refer to as the Business Combination.In connection with the closing of the Business Combination, the company changed its name to Concrete Pumping Holdings, Inc. Finally, the financial results described today for dates and periods prior to the Business Combination, relate to the operations of the formerly private company previously known as Concrete Pumping Holdings. For additional information, please see our Form 10-Q that we will file after this call, which includes the historical Concrete Pumping Holdings financial statements that we are discussing on this call as well as pro forma financial information for the company that reflects the business combinations.I'd like to remind everyone that this call will be available for a replay later this evening. A webcast replay will also be available via the link provided in today's press release as well as on the company's website. Additionally, we have posted an updated investor presentation to Concrete Pumping Holdings' website.Now I'd like to turn the call over to the CEO of Concrete Pumping Holdings, Bruce Young. Bruce?
Bruce Young: Thank you, Cody, and good afternoon, everyone.It’s great to be joining you today as we report our first full-year as a public company. The year was filled with many transformative events that has positioned our company for continued success and shareholder value creation in the years to come. I'd like to recap a few of them. First, we raised equity to help close the acquisition of Capital Pumping, an important strategic asset to strengthen our presence in the important high growth Texas region.Capital added highly complementary assets and operations roughly $50 million in pro forma revenue, and $24 million in pro forma EBITDA to our base in a team that importantly share our core values. The heavy lifting aspect of the business integration has been completed as planned and we look forward to continuing to realize the economic benefits of the two companies as they come together.The focus of our business integration efforts have included the combination of our safety programs, optimization of our fleet management and equipment utilization, and rationalizing our geographic footprint. All the efforts of our combined teams have been executed very well. We have achieved some operating leverage in the process and our collective teams have done a truly outstanding job blending two high performing organizations together.The next milestone event during the year was the warrant exchange where we took important steps to simplify our capital structure by exchanging approximately 21 million out of 34 million warrants to roughly 62% of the total outstanding warrants for approximately 3.8 million shares of common stock. Finally, and as a sign of our continued confidence in the business, CPH management collectively exercised 57% of the roll-over incentive units received from the business combinations with Industrea representing a $1.4 million cash infusion to the company.Our team remains highly aligned with our shareholders with employees owning approximately 12% of the total shares outstanding. While Ian's comments today will largely focus on our fourth quarter results, I would like to address some full-year metrics. Revenue was up 16% on the back of strong M&A execution that included securing the addition of the Capital Pumping business.These results show a healthy, organic operating environment and demonstrate our ongoing ability to execute on M&A. Equally as important, acquisitions really helped galvanize our scale to secure impressive gross margins and EBITDA. During the year, gross margin grew 60 basis points to 44.3%, adjusted EBITDA increased 21% to $95.5 million exceeding our outlook, and adjusted EBITDA margin increased 120 basis points to 33.7%.Included in these EBITDA results were not only Capital’s higher margin revenue, but also the benefits of our scale in things like fuel pricing and procurement costs. The EBITDA contribution allowed us to pay down debt as planned. We ended the year with a pro forma leverage ratio of 3.9 times, which is an improvement on the four times targeted ratio we provided in our prior outlook.EBITDA and leverage reduction are two important metrics we closely track as an organization, and I am encouraged by our progress. Now, I'd like to hand the call over to Iain, so he can provide a detailed overview on our fourth quarter financial results and introduce our outlook for fiscal year 2020. I will return to provide more color on our outlook and reiterate our priorities for shareholder value creation. Iain?
Iain Humphries: Thanks Bruce and good afternoon, everyone.Before getting into the details, I would like to remind everyone that we refer to adjusted EBITDA, which is a non GAAP financial measure and a reconciliation from net income to adjusted EBITDA can be found in the press release we issued earlier today.Also please keep in mind our business is seasonal with approximately 45% of revenue is generated in the first half of our fiscal year and 55% in the second half. Additionally, our profitability is typically back half weighted while capital expenditure is largely front half weighted as we take delivery of new equipment in the earlier months of the fiscal year to ensure we maximize our fleet uptime in our busiest periods.Moving into 2019 fourth quarter results, we generated strong top line growth as Q4 revenue increased 25% to $84 million compared to $67.4 million in the same year ago quarter. The increase was largely driven by the contribution from the Capital acquisition, our organic growth in Brundage-Bone and Eco-Pan. These strong results were achieved despite roughly 40% of our U.S. Concrete Pumping operations being shut down in the final week of our fiscal year due to a severe early winter storm that delivers snow and rain from the Pacific Northwest, down through our Idaho, Utah, and Colorado regions and into our Texas market.But we estimate the revenue impact from this event was roughly $1.5 million. We expect this work will be recaptured in our early 2020 fiscal year. As I will address shortly, this period of brief inactivity had a minimal impact on our margin performance due to our team's excellent efforts in controlling our variable costs base.On a pro forma basis, which includes the results from acquisitions with pre and post transaction, our Q4 revenue increased by approximately 5%. Adjusting the pro forma revenue on a constant currency basis, revenue was up by 6%. In the fourth fiscal quarter, revenue in our U.S. Concrete Pumping segment mostly operated under the Brundage-Bone brand, increased 35% to $62.1 million.The capital acquisition, which added additional pumping capacity to our Texas market drove approximately $13.5 million of the year-over-year increase. Additionally, we experienced notable improvements in most markets, including Oklahoma, where we are completing certain special projects, and our Idaho region benefited from an increase in billable hours. Our utilization in the U.S. Concrete Pumping business during the fourth quarter was approximately 82%, which has steadily increased from approximately 73% in Q2, and approximately 80% in Q3 2019.Pricing in the U.S. also remains strong as revenue per billed hour improved in the fourth quarter compared to the same year-ago quarter. For the full fiscal year, U.S. Concrete Pumping pricing and build hour volume on a pro forma basis improved by approximately 4% in total with an equal split of growth between price and volume.Q4 019 revenue in our U.K. operations operating under the Camfaud brand was $13 million compared to $13.7 million in the same year-ago quarter. The small decline was primarily due to the continued strengthening of the U.S. dollar, which impacted the translation of our reported results. On a constant currency basis, Camfaud’s revenue in the fourth quarter was relatively flat due to some uncertainty in the U.K. economy primarily related to Brexit.In the U.K., average revenue per job in fiscal year 2019 steadily increased to the earlier quarters in the year, and the price per job in Q4 2019 was consistent with the same period last year.Revenue in our U.S. Concrete Waste Management Services segment or Eco-Pan increased 18% to approximately $9 million in the fourth quarter.The increase was driven by modest improvements in the majority of our markets and higher utilization of our assets. We experienced strong growth in our next tier markets as we continue integrating Eco-Pan service into our Concrete Pumping footprint.Pans in the field, which are a leading indicator for future pickups are at record levels. Price per pickup has been growing nicely this year both sequentially and year-over-year and increased 1% in the fourth quarter of 2019 when compared to the same year-ago quarter.Turning back to our consolidated results, gross profit in the fourth quarter increased 34% to $38.8 million compared to the same year-ago quarter and gross margin increased 340 basis points to 46.3% compared to last year.The increase in gross margin was primarily due to the post acquisition contributions from capital pumping, more favorable fuel pricing and continued improvement or supply chain procurements costs. This was partially offset by the step-up in depreciation related to the Industrea business Combination in December of 2018 where depreciation expense related to our Concrete Pumping equipment is included within our cost of operations.General and administrative expenses in Q4 were $28.2 million compared to $15.9 million in the same year-ago quarter. As a percent of revenue, general and administrative expenses were 33.6% compared to 23.6% last year.The increase was largely due to $7.9 million increase in amortization expense mostly due to the Business Combination. The remainder of the increase was mostly attributable to an additional $1.6 million of stock-based compensation expense and head count growth predominantly from the Capital Pumping team.Net income attributable to common shareholders was $0.1 million or $0.00 per diluted share. Please note that our share count increased in the 2019 third quarter as a result of the secondary equity offering related to the Capital Pumping acquisition that was completed in May 2019 on the exchange of 21 million warrants or 3.8 million shares of common stock.Finally, adjusted EBITDA in the fourth quarter increased 33% to $29.6 million when compared to $22.3 million in the same year-ago quarter. Adjusted EBITDA margin improved by 220 basis points to 35.2%. Revenue growth gross margin improvement and procurement savings in parts and feel drove the strong expansion.Additionally, a great job by our team position is also despite the severe weather event in the last week of the year was an additional contributing factor. Turning to the balance sheet, as of October 31, 2019 we have $7.5 million of cash and $425.7 million of total debt.These numbers reflect a $16 million reduction in net debt during the quarter. And as Bruce mentioned, we ended the year with a leverage ratio of 3.9 times. As a reminder our business generates a healthy free cash flow as we invoice our customers daily for the work we perform and we have minimal working capital requirements as we do not take ownership of the concrete that we’ve played.This ability to generate strong free cash flow, along with our strong margins that have been enhanced with the acquisition of the accretive capital business provide us additional comfort with the debt levels and our ability to de-lever and strengthen our balance sheet over time. Now let's turn to our financial outlook for our fiscal year 2020.We expect construction activity in our end-markets that largely remain robust. We have a high visibility and our commercial infrastructure work which accounts for nearly 70% of our revenue. And our current project outlook in the U.S. remains in a stronger position to-date when compared to this time last year, given these dynamics we expect full-year revenue in fiscal year 2020 to range between $350 million and $330 million and adjusted EBITDA to range between $110 million and $115 million.We expect a large portion of our free cash flow to be allocated to reducing our leverage ratio. And we are targeting approximately 3.5 times leverage ratio at the end of fiscal year 2020. With that, I want to turn the call back to Bruce to provide additional color around our outlook and reiterate our strategic priorities for fiscal year 2020.
Bruce Young: Thanks Ian.Looking to fiscal 2020, our focus remains on balancing strength, profitable organic growth and the continued successful execution of our long-term plan. We have several large projects kicking-off in the first half of 2020 with organic growth expected in most of our key regions. These projects ranged from major campus rebuilds, office buildings, parking garages, data centers, distribution centers, hotels, medical buildings in a variety of energy related projects.These large projects are spread across the country from Oregon and Washington to Texas and Atlanta. There are also a number of large infrastructure projects in the U.K. that are ongoing with additional projects kicking off in the near future. The accretive addition of the Capital Pumping business stimulated our presence in the important Texas marketplace and we continue to look for options to drive both revenue and expense synergies across the combined businesses.Regarding Eco-Pan as Ian mentioned, we are continuing our efforts to grow the business predominantly by leveraging our existing infrastructure, customers and branch locations. This will allow us to profitably grow the business while increasing awareness to our service offering. As mentioned previously, we updated our U.S. Eco-Pan leadership in June of this year and the impact of Casey Mendenhall’s involvement is showing positive signs with a strong year-over-year revenue and volume growth in the fourth quarter.In the U.K., the political environment has stabilized in recent months and foreign exchange headwinds have lessened. We remain cautious in our outlook for the U.K. expecting concrete pumping in the region to be somewhat flat in 2020.Despite potential headwinds and excluding the effect of currency fluctuations, we remain in a position to continue to drive our leading reputation to our market presence and value added services, strong relationships with our customers and broad geographic footprint.Our team in UK continues to perform exceptionally in a challenging market has done an outstanding job maintaining a strong resilient position in the market and we expect this to continue. Next, I'd like to reiterate our near-term priorities which we believe will drive optimal shareholder value. First is driving organic EBITDA growth and free cash flow generation.We will continue to capture the remaining synergies from the capital acquisition and introduced Eco-Pan further across the Concrete Pumping footprint. We will remain highly disciplined in Cost Management. Second is maintaining stable investment in our equipment in fiscal 2020, we have a younger fleet, which reduces repair and maintenance and capital expenditures typically range around 12% of revenue. We actively manage the purchase and sale of our equipments and minimize lumpiness in our capital requirements in any given year.And during a potential downturn, we were able to quickly ratchet down CapEx and either turn as negative as we increase sales of our used equipment. Our third priority is maintaining a strong balance sheet and driving down leverage. We continue to be comfortable with our current amount of debt. And as Ian mentioned, we expect our leverage ratio to decline to approximately three and a half times by the end of 2020.The main driver of the sequential decline in our leverage ratio is the significant free cash flow we typically generate in the back half of the year due to seasonality. Our long-term leverage target remains at 2.5 times. Lastly, we will pursue opportunistic acquisitions only after the Capital is fully integrated.M&A pipeline remains very healthy and we expect near term M&A would be tuck-ins rather than transformational like capital. To put this into perspective, Capital generated is approximately $24 million of three months, 12 months adjusted EBITDA as of March 31. Well, the companies in our pipeline have an average adjusted EBITDA of about $5 million to $10 million. For the avoidance of doubt, issuing equity to secure accretive M&A transactions is not a immediate preference and capital was a unique situation given its size and strategic importance.Before turning the call over to the operator for Q&A, I'd like to say that I'm encouraged by our results in the fourth quarter, particularly given all the events that took place during the year to get us into this position. However, we have much to look forward to in fiscal 2020. And our team is confident that our current plan is the optimal way to drive long-term shareholder value. With that, I'd like to turn the call back to the operator for Q&A. Omar?
Operator: [Operator Instructions] Our first question is from Justin Hauke, Robert W. Baird & Company. Please proceed with your question.
Justin Hauke: Yes. Hi good afternoon. Thanks for taking the time here. I guess I just wanted to start maybe with the guidance and just to clarify maybe some of the moving pieces within it. It looks like organic revenue guidance is, call it flat to up 5%, you said that in U.K. you’re expecting it to be flattish, so is this the way to think about it that U.S. is up low-single digits, mid-single digits, organic and then Eco-Pan kind of up high-single digits and is that kind of the right framework and then I guess is the Eco-Pan outlook, is that kind of the structural growth rate you expect it to grow, is that high-single-digit rate?
Iain Humphries: Yes Justin, hi this is Iain. Yes, I mean the way that you have framed out is good we think about from last year, and that’s what we have mentioned in our Q3 earnings. So, what we have seen pro forma year-over-year on the U.S. pumping side is in low-to-mid single digits, and obviously with Eco-Pan and being certainly outlining its life cycle, we are seeing a pick up in the organic volume we have seen in Q4 which helped with the full year. So, the way that you framed that out there for next year is a fair representation for next year.
Justin Hauke: Okay. Good, and then I guess the second question here just on the U.S. segment, you saw the sequential growth uptick, it was flat organically last quarter, it’s up 4% or so this quarter despite having that weather headwind. I think you mentioned a couple markets that saw a little bit of an improvement, but is there anything else that was kind of one-time in there or something that was holding back 3Q? I'm just trying to understand the Delta there?
Bruce Young: Yes, I mean really the weather event was the biggest thing in Q4. We know obviously, when it starts in the Pacific Northwest, and it's snow and ice, and it makes as we're done through Colorado, and then into Texas, that was really the only thing that we've seen in the business in Q4, and organically we see a real split on volume and price equally. And so that pro forma goes year-over-year of around 4% is quite consistent with our normal expectations.
Justin Hauke: Got it. And I guess maybe the last one I have here before I jump back and maybe I will come back in but just on the free cash flow outlook, is 45% EBITDA conversion still kind of the right way to think about it. And I guess I asked because unless your CapEx is different, it kind of looks like maybe there's that 3.5 leverages a little bit. You are going to have some room to have some free cash flow beyond just paying down debt to get there if you convert at that rate, so anything on the cash flow guidance you can give color on?
Bruce Young: Yes, that's fair, and so from a cash flow and free cash flow guidance would obviously be just take our 2019 results of $95.5 million of EBITDA off of that and the run rate on CapEx is about 12% of revenues, but as Bruce mentioned and then if you take interest from there, I mean obviously, if the interest rates hold as we see them today, we would expect maybe $37 million, $38 million interest number to – realise [ph]to the cash conversion from EBITDA, and we'll be around just shy of 30% and with after our CapEx and interest.
Justin Hauke: Got it, that’s helpful.
Bruce Young: Well, I'll jump back in later. I will let someone else have the question here.
Operator: Our next question is from Stanley Elliott, Stifel. Please proceed with your question.
Stanley Elliott: Can you talk a little bit more about the pricing initiatives you guys have out there? Are you doing anything differently? You got 2% here, which is great. And then maybe kind of what are your expectations for pricing in the coming year?
Bruce Young: Yes, so hi, Stanley, this is Bruce. So, I want to qualify the pricing. Now, when we acquired the Capital business, they have a higher percentage of residential work and a higher number of smaller units. So, our average size of the order of equipment during the second half of the year was smaller than it was in the first half of the year. But even with that, we ended up with a 2% increase in rates even though many of the orders were for smaller units.So, as we look at the initiatives we have with pricing both for Eco-Pan and Brundage-Bone, we certainly have some inflation that we have to deal with. We have letters out to our customers, most price rates in the U.S. go into effect in January. They go a little later in the year in the U.K., but our expectations in years past are very consistent with what we're going to see in 2020.
Stanley Elliott: Comments, if you all had visibility in the business into next year, fair to assume that it's kind of booked or thought to be booked at kind of some of this higher priced work?
Bruce Young: It's fair to say that, now we do have a higher percentage of residential by bringing capital on but that's going to be more than offset with our specialty-type work we do with our high rise places [ph] equipment, static line pumps, and higher utilization on our larger units.
Stanley Elliott: Perfect, Can you guys talk a little bit more about what has happened in the Eco-Pan business? They had a nice build really throughout the year, are you going to new markets or new customers just for paying some rent, anything to kind of help us with what's driving the improvement that you are seeing there?
Bruce Young: Yes, so we had a change in the general manager in June with them and when he came on board, we did a much better job of leveraging the Brundage-Bone relationships and Brundage-Bone resources to help really supercharge the growth of Eco-Pan and the team chemistry that's been developed with the two leaders at both Brundage-Bone and Eco-Pan to drive that growth, it has been phenomenal and the result says you can see in the fourth quarter, it’s been impressive and we see that going into 2020.
Stanley Elliott: Perfect guys, that’s all I had. Thank you very much.
Bruce Young: Thanks Stanley.
Operator: Our next question is from Alex Rygiel, B. Riley FBR. Please proceed with your question.
Bruce Young: Thank you. Good evening, gentlemen.
Alex Rygiel: Hi, just a quick clarification with regards to your 2020 revenue guidance. Are you still feeling like maybe half of that is price and half of that as volume?
Bruce Young: Yes, on the U.S. pumping site, and that's typically what we expect is them half price and half volume we have seen that in 2019 as well. So yes, that's the expectation for next year.
Alex Rygiel: And then can you update us on the U.K. rail opportunity?
Iain Humphries: Yes, so maybe addressing the U.K. in general. So as you know, the political environment in the U.K. is a little more stable now than what we've seen in the past. However, there is it will take some time to get trade agreements and other things completed before confidence goes into the construction industry. So it might be sometime later in the year or in the next year before we see improvement in that market. There's still some uncertainty on the HS2 Railway although the optimism is at the end of this year that that project will be ramping up.They've been working on that and their significant dollar spend on that to this point. But I think that will be told over the next few months as the political environment kind of stabilizes.
Alex Rygiel: Thank you.
Operator: [Operator Instructions] Our next question is from Tim Mulrooney, William Blair. Please proceed with your question.
Tim Mulrooney: Good afternoon.
Iain Humphries: Good afternoon.
Tim Mulrooney: So on your EBITDA guidance, suggest margin expansion of over 100 basis points for the full-year. Does this primarily reflect the impact from having a full-year of capital in the numbers, or are there other factors to consider as well?
Iain Humphries: Yes, I mean, obviously, a key component of that is the full-year impact of capital and next year, which as you know had a higher margin than the legacy business. And we'll continue to work on, we get that scale is that comes allows this to obviously strengthen our supply chain as well.So your expectation of business margin expansion is, we would match the expectations about how we see the full-year rollout, the benefit of scale into next year.
Tim Mulrooney: Okay, and excuse me, but I'm on the road. So it was a little hard to hear some of your comments, Ian. But last quarter you indicated that your backlog was up year-over-year. Is that still true today and has the growth in that backlog accelerated or decelerated at all since you last reported earnings?
Bruce Young: Hi Tim, this is Bruce. Yes so as we've talked in the past, it's difficult to predict where the residential markets were going. But roughly, 70 plus percent of our business is commercial and infrastructure. And our backlog in commercial and infrastructure is greater than it was in prior years and utilization of our special equipment is at the highest level we've seen.
Tim Mulrooney: Okay. Okay. Last question for me, guys, if we could pivot to the cash flow statement for a second. And I look you said, because you don't take ownership of the concrete, you don't have significant working capital requirements. But in looking at the cash flow statement, it looks like working capital was a $9 million use of cash in 2019 with most of that coming from receivables and payables. With that in mind, how should we think about working capital for 2020 as we work through our models here?
Bruce Young: Yes, so I mean it is a working capital business. I mean, a lot of what you've seen on the change there is obviously we have expanded the top line, and with the additional of capital. And the other thing from a capital perspective, our working capital perspective is, and we accrue for the equipment that we have delivered just before the year-end.So it’s not cash impact but always this main movements on working capital and for delivery equipment and the expansion of the top line of business.
Tim Mulrooney: Got you, thanks for your time.
Bruce Young: Thanks Tim.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Young for closing remarks.
Bruce Young: Thanks. We'd like to thank everyone for listening to today's call and we look forward to speaking with you when we report our first quarter of fiscal 2020 in March. Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.